Operator: Welcome to the ArrowMark Financial Corp. Q2 2022 Investor Call. As a reminder, this call is being recorded. Now I would like to turn the call over to Julie Muraco, Investor Relations of ArrowMark Financial Corp.
Julie Muraco: Before we begin this conference call, I'd like to remind everyone that certain statements made during the call may be considered forward-looking statements, which are based on current management expectations that involve substantial risks and uncertainties. Actual results may differ materially from the results stated in or implied by these forward-looking statements. ArrowMark Financial has based the forward-looking statements included in this presentation on information available to us today as of June 30, 2022. Unless otherwise noted, the company undertakes no duty to update any forward-looking statements made herein. In today's call, the management of ArrowMark Financial will be providing prepared remarks. Investors will have the opportunity to address their questions directly to management by calling Investor Relations at (212) 468-5441 or e-mailing jmuraco@arrowmarkpartners.com. Now I will turn the call over to Sanjai Bhonsle, Chief Executive Officer of ArrowMark Financial.
Sanjai Bhonsle: Thank you, Julie. Good afternoon, and welcome to ArrowMark Financial's investor call for second quarter 2022. Along with Julie, here with me today are Dana Staggs, President; and Pat Farrell, our CFO. In the next few minutes, I will briefly comment on the market environment, including factors affecting the credit markets. Then I'll provide ArrowMark Financial's quarterly results and portfolio review. Dana will provide details on the origination pipeline, and Pat will provide you with greater detail on our financial results. Before I begin, I want to recognize the appointment of Dana Staggs as President of ArrowMark Financial Corp. effective June 9, 2022. Dana has over 27 years of experience leading organizations. He has been with ArrowMark Partners for five years, helping lead the private debt and equity investment strategy at the firm. Dana is focused on the origination, diligence and management of the investment portfolio, and I'm pleased to have Dana as an officer of the company. Now on to the markets. During the second quarter, the equity and credit markets continue to experience volatility with the S&P 500 down 16% for the second quarter and down nearly 20% in the first six months of 2022. Likewise, the bond markets also declined with the Bloomberg Barclays U.S. Aggregate Bond Index, a proxy for investment-grade bonds, was down nearly 5% for the quarter and down 10% in the first six months of 2022. Heightened fears of a recession, driven by high inflation, tightening Central Bank monetary policy, supply chain disruptions and geopolitical risks from the war in Ukraine contributed to the volatility in the equity and credit markets. Last week, the Federal Reserve announced that it raised the Fed funds rate by 75 basis points, the second time the Fed made a 75 basis point hike in the past two months. Many believe the Fed is not finished hiking rates. Additional increases are expected in the second half of the year in order to obtain inflation in accordance with a 2% inflation target. We expect that monetary policy will continue to weigh heavily on the markets for the remainder of the year. With a long-term view in mind, I want to put the macro factors affecting the markets into perspective when it comes to ArrowMark Financial and our underlying investments. ArrowMark Financial's portfolio is made up of securities, primarily issued by money center banks and U.S. community banks. We believe that our investment portfolio is well positioned despite these macro factors affecting our current economy. Moreover, we believe we have a defensive approach based on capital preservation, income generation and maximizing total risk-adjusted returns. Our beliefs are based on the following: first, our investments are structured in a way that mitigates risk. As previously mentioned, our regulatory capital relief investments are primarily issued by money center banks classified as G-SIBs that are well capitalized. We also deploy capital in community banks, where we invest in term loans, trust preferred and preferred securities, all priority ranking securities issued by these banks. We believe that money center banks and community banks have been conservative in taking reserves ahead of a possible economic downturn. They are also poised to benefit from increases in lending rates as well as growth in their loan book. Given strong Tier 1 capital ratios and conservative balance sheets for our portfolio of banks, we expect the banking sector to be resilient, in general, during any economic downturn. Second, our portfolio of regulatory capital and community bank investments are diversified across money center banks and community banks. Third, we further mitigate risk through our portfolio management process as our investment team is in frequent contact with our issuers. Our investment team do regularly stress test their portfolio against various economic scenarios, industry sector credit outlooks and/or geographic risk. Finally, the scale and experience that the ArrowMark Partners platform provides to our adviser offers exceptional benefits, including diverse in-house subject matter expertise and research. The team contributes to improving the company's efficiencies, which help to optimize ArrowMark Financial's operating results. Our seasoned team has experience managing investment portfolios through multiple economic cycles and market conditions. This depth of experience is exactly why we remain intently focused on credit quality when underwriting the portfolio. Now I'd like to say a few words on interest rates and the positive impact on our earnings. We believe a rise in rates should be beneficial to our portfolio due to the floating rate structure of a majority of our investments. Today, approximately 78% of the company's total investments are in floating rate assets, which provides an inflation hedge to the portfolio. As I mentioned last quarter, we believe that every 25 basis point increase in base rates may translate to as much as an additional $0.005 to $0.01 per share per quarter in net income, all things being equal. The impact to net income from an increase in rates is dependent on a number of variables. These include the mix of floating rate assets and the timing of the reset of the base rates and the average amount of borrowings under our credit facility, for example. Now on to ArrowMark Financial's results for the second quarter. We are pleased to report that net investment income for the second quarter of 2022 was approximately $3 million or $0.43 per share, up 2.5% from the prior quarter. Of note, once again, we have over-earned our stated dividend of $0.39 per share per quarter. For the first six months of 2022, net investment income was up approximately 15% as compared to the same period in 2021. Our net asset value at the end of the quarter was $20.94 per share, down $0.50 per share or negative 2.3% from the prior quarter end. For the most part, this was due to the volatility of the credit markets. Our NAV has performed well, which compares favorably to the equity and credit markets performance during the quarter. We believe this demonstrates the low volatility characteristics of our investments and their strong underlying credit profile. Now let me turn to the portfolio review. During the second quarter, the company invested a total of $23.8 million in four regulatory capital transactions. The securities were purchased in the primary market and together have an effective weighted average coupon of 10.6%. I want to point out that the yields on these regulatory capital securities will continue to benefit from the rise in interest rates due to the floating rate structure. The $23.8 million of investments was offset by $14.8 million from the full sale of PFF, the full call of first marquee and other partial paydowns. The estimated annualized yield of the portfolio investments as of June 30 was 10.11%, up 58 basis points over the last quarter end, partially driven by the sales of low sub-5% yielding assets and the purchase of much higher yielding regulatory capital assets. I want to highlight that this is the first time the portfolio yield has been above 10% since the second quarter of 2020. At quarter end, total assets of portfolio were reported at approximately $201.6 million and invested portfolio was reported at $196.4 million. Now I want to introduce Dana Staggs, President of the company, who will discuss the origination pipeline.
Dana Staggs: Thank you, Sanjai. In Q2, industry-wide regulatory capital origination was robust with an estimated $3 billion to $3.5 billion of issuance, bringing the year-to-date 2022 issuance to approximately $4 billion to $5 billion. The new issue market for reg cap is expected to meet or exceed 2021 issuance levels. Continued growth of the reg cap market supports our efforts to deploy capital into this asset class. In the community banking space in Q2, subordinated loans issued by community banks were yielding 5% higher versus 3% to 4% for most of 2021. The recent rise in subordinated loan interest rates have been primarily driven by recent increases in the five and 10-year treasury yield. Despite favorable price changes, we still find more attractive opportunities on a risk-adjusted return basis and regulatory capital securities. However, we continue to monitor the community bank subordinated loan and preferred equity new issue and secondary market. It is our intention to opportunistically invest in those assets when attractive opportunities are available. Now I will turn it back to Sanjai.
Sanjai Bhonsle: Thank you, Dana. We firmly believe that during these volatile times, the company is well positioned to deliver superior financial results, benefiting from the strategic mix of reg cap and community bank investments. ArrowMark Financial is the only public company that offers the opportunity to participate in regulatory capital investments. With this strategy and with the stock at an 8.6% yield, we believe that ArrowMark Financial continues to offer exceptional value to investors. Now I want to turn the call over to Pat Farrell, Chief Financial Officer of the company.
Pat Farrell: Thank you, Sanjai. As I do each quarter, I will present the financial results by going through the components of the company's quarterly results in detail. The net asset value on June 30 was $20.94 per share, down $0.50 from the prior quarter. The decline in NAV in part reflects the volatility of the credit market. NAV is comprised of four components: net investment income, realized capital gains and losses, the change in value of the portfolio's investments and lastly, distributions paid during the period. Let's review these components. Gross income for the quarter was approximately $5 million or $0.71 per share. Total expenses for the quarter were $2 million or $0.28 per share, resulting in net investment income for the quarter of $3 million or $0.43 per share. As is the case every quarter, the timing of calls and paydowns impacts the income generation of the company. Realized capital gains and losses in the quarter is the second component affecting the change in NAV. The net realized capital gains from investment activities were approximately $2.5 million or $0.36 per share. The third component, changes in unrealized appreciation or depreciation of the portfolio, relates to how the value of the entire investment portfolio has changed from the previous quarter end to the current quarter end. For the quarter, the change in net unrealized depreciation on investments and foreign currency transactions was approximately $6.4 million or $0.90 per share. I want to point out the gains and losses from foreign currency hedging activities do not impact our net income. The fourth component affecting the change in net asset value is distribution. Regular cash distribution for the quarter was $0.39 per share. The distribution of $0.39 per share was paid on June 29. In summary, we began the quarter with a net asset value of $21.44 per share. During the quarter, we generated net income of $3 million, net realized capital gains of approximately $2.5 million, and net unrealized value of the portfolio in foreign currency transactions decreased by $6.4 million. Some of these components reduced by a distribution of $0.39 per share resulted in a net asset value of $20.94 per share on June 30, which was down $0.50 from the prior quarter. We believe that NAV is a true representation of the value of the company. Although we don't believe we get credit for it in the public markets, the majority of the portfolio is independently marked, meaning we do not put valuations on the majority of investments in our own portfolio, which is a point of differentiation compared to other publicly-traded closed-end funds and BDCs. In the second quarter, approximately 75% of the portfolio prices or marks reflect a minimum of two quotations from broker-dealers or pricing services. These quotations represent an independent third-party assessment of the current value of the portfolio. At quarter-end, the company had total assets of $201.6 million, consisting of total investments of $197.1 million in cash, interest and dividends receivable and prepaid assets totaling approximately $4.5 million. At quarter end, our dividend yield was approximately 8.1%. As of today, the dividend yield is approximately 8.6%. Now let me update you on our credit facility. As disclosed in our 8-K filing on June 3, we amended and extended our credit agreement with Texas Capital Bank, our lender and capital partner since 2014. The interest rate for the facility is now based on the secured overnight financing rate, known as SOFR, and is currently priced at SOFR plus 2.61%. In addition, we upsized the facility to $59 million from $62 million with the option to increase to $90 million. We also extended the maturity another three years with an option to extend to a fourth year. We are pleased with the new terms, which will ensure strong and stable access to debt capital over the next four years. As of June 30, 2022, the company had $51.5 million drawn from the facility or 26% of total assets. As a registered investment company subject to the Investment Company Act, we may only borrow up to 33.3% of our total assets. Now I want to turn the call back over to Sanjai.
Sanjai Bhonsle: Thank you, Pat. I'd like to thank everyone on the call for listening in today. We appreciate your continued support, and we hope you enjoy the remainder of the summer. Stay safe and good night.
Operator: This concludes today's call. Thank you for attending.
Q -: